Operator: Good day and thank you for standing by. Welcome to Las Vegas Sands for Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Mr. Dan Briggs. Sir, the floor is yours.
Daniel Briggs : Thank you, Operator. Joining me on the call today are Rob Goldstein, our Chairman and Chief Executive Officer, and Patrick Dumont, our President and Chief Operating Officer. Also joining us on the call are Dr. Wilfred Wong, President of Sands China, and Grant Chum, Chief Operating President of Sands China. Before I turn the call over to Rob. Please let me remind you that today's conference call will contain forward-looking statements that we're making under the safe harbor provision of federal securities laws. The Company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures, a definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides in our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in Q&A session, we ask that you please respect our request to limit yourself to 1 question and 1 follow-up, so we might allow everyone with interest the opportunity to participate. Please note that this presentation is being recorded. With that, let me please turn the call over to Rob.
Rob Goldstein: Thanks, Dan. Good afternoon and good morning to our colleagues in Asia and thank you for joining our call today. I'll provide some brief comments then we'll go to the Q&A. Our results continue to reflect the pandemic's impact. Heightened restrictions directly impacted our results in both Macao and Singapore this quarter. We did generate positive EBITDA for the quarter in both markets. We remain confident in the eventual recovery in both Macao and Singapore. Singapore gaming operations are closed for a portion of the quarter, enhanced restrictions were in place throughout the remainder of the quarter. The good news in Singapore, the travel quarters are being established with the number of source markets, which hopefully will contribute to the strong recovery of the time. Our considerable investments in Macao continues to take shape. As the market recovers, we believe that Four Seasons in London will present a growth opportunity in the future. The spend in Macao has proven both resilient, the premium mass level from both the gaming and retail perspective you can see on Page 29, 30 in your deck. We have great optimism about our ability to perform to a pre -pandemic level once visitation has returned. Our Company is divided in 3 areas. Most importantly, the Asia portfolio, Macao and Singapore, remain confident we will return to a strong positive cash flow in both Macao and Singapore in the future as restrictions or fees in traveling tours recover. The sale of our Las Vegas assets create liquidity and optionality as we pursue large-scale land-based destination resorts in both U.S. and Asia. We will continue to build out our digital presence and we're exploring multiple opportunities we'll achieve in the appropriate time in future. So thanks for your time again, say let's go to the questions. Dan?
Daniel Briggs : Operator, we're ready to go.
Operator: Thank you. [Operator Instructions]. Your first question is coming from the line of Carlo Santarelli from Deutsche Bank. Your line is open.
Carlo Santarelli : Hey, everybody, hope everyone's well. Rob, obviously, not going to spend a lot of time discussing the results as we all know that numerous impacting results right now. But what menu -- when you think about the progress as it pertains to Macao and what you're hearing around potential using of Visa stuff, whether it's on a province by province basis or whatever the latest is that you could share would be appreciated.
Rob Goldstein: Sure. We woke up 2 guys and they were nice so I'll let them speak to it. But, Grant and Wilfred, why don't you take that since you're on the ground, living and breathing them -- these issues every day.
Grant Chum: Yes, let me do that.
Rob Goldstein: [Indiscernible]
Grant Chum: Thanks, Rob. On the basis -- I think the main point is the Visa channels for the individual business game remains open. I think if you look at the quarter in the third quarter, what really impacted results during the quarter, month by month is really the conditions on the ground in terms of domestic COVID cases. So you will see that in July we had at 1 point for about 3 weeks in July, we had a pretty significant recovery in the visitation and also room occupancy. And we were starting to get a good momentum for the summer after the issues we had in the Guangdong outbreak in June. And then as we moved into late July and early August, we had more local cases starting with the Nanjing airport outbreak. And eventually in early August, we did have 4 local cases. So that obviously curtailed the traffic immediately. And as we move into September, again, we were recovering well, especially in the second and third week of September. And we were building up, ready for the October Golden Week again. And unfortunately, we did have some local cases towards the last week of September, which, again, reduced the traffic immediately as it led to additional restrictions around the border. So that really explains how the traffic flow evolve during the quarter.
Carlo Santarelli : Great. Thank you. That's helpful. And then just as a quick follow-up. Rob, you guys, did disclose, and I think this is different from how you've disclosed historically around capital expenditures in the period. The one line in there was $24 million of Corporate and Other. Does that -- what exactly does that pertain to and does that have anything to do with the comments that you made on the digital piece of the business?
Rob Goldstein: Sure. Pat, you want to take that?
Patrick Dumont: Sure. I think there's a bunch of stuff in there. Some of the stuff relate to digital, but some of it relates to Capex associated with moving.
Carlo Santarelli : Got it. And could you just update your latest thoughts on the learnings of the last couple of months, quarters as it pertains to the digital initiative to any degree, Patrick?
Patrick Dumont: Yeah, sure, happy to do it. I think for us, we take a very long-term approach. We mentioned it last quarter, I think this is something that's going to invest over quarters and years. We're really investing for the future. I think for us, we're looking to be mindful of the way we deploy capital. We've always had a history of investing in things that we think provide a very high level of returns in the future. And that's where we're thinking about it today. We think there's a great opportunity in digital and a variety of different areas. You see some of the valuations that the market is giving to certain areas today. We think it's very compelling, especially for the long-term. So right now we're just sort of moving along slowly and when we have more things to report, we will, as Rob said, his opening remarks, but we're very confidence. We have capital to deploy against that. We're excited about the future. And we have more things to talk about. We certainly well for right now, it's very early stages.
Carlo Santarelli : Understood. Thank you, guys.
Rob Goldstein: Thank you, Carlo.
Operator: Thank you.Your next question is from the line of Stephen Grambling from Goldman Sachs, your line is open.
Stephen Grambling : Hey, thank you. Maybe changing gears to look at Singapore, It looks like that market was also obviously impacting the quarter VIP, particularly soft. If we look out further once restrictions ease, I guess, how do you think about the potential EBITDA potential of that asset if VIP in Macao remains pressured. In other words, what kind of overlap do you typically see in Singapore from the Chinese traveler, and could that be impacted if VIP is permanently restricted?
Rob Goldstein: Sure. First, I think the fascinating part to me is we operate in 3 markets currently and Las Vegas is the blueprint and include recovery of Asia. We said -- about a year ago, I was coming to work and someone told me, here in Las Vegas we wouldn't see normal returns here, total revenue till '24, '25. We are already in the fall of '21 and the market's loan wide open. And what's the path? The path is pent-up demand vaccinations and doors get open. And I think Las Vegas will be the blueprint release, that's the path. So vaccinations in Asia are booming. If you can look at the what's happening in Singapore, Malaysia, Japan, China, Korea, it's all above the percentage-wise what's happening in the U.S. So first, we have extremely strong vaccination rates in Asia, surpassing U.S. Number 2, I think you've got, obviously, the government that wants to open the doors in Singapore as evidenced by their actions they want just that. I think you'll see a big turn in '22. Your recovery will begin in '22. When do we get back to 1.7 and maybe beyond that EBITDA, I don't know. The exact date I can't tell you. I can tell you this, it's going to be a lot better in '22, if the government continues their path, which is shown a lot of leadership and thoughtfulness, the acceleration --vaccination rates, I think are actually approaching 80 plus percent. The market over there feels it's ready to come back in '22. As the government opens those travelings and we look at, again, the demand issues here in Las Vegas have been I think very instructive. It's great to walk through it and see the numbers that's kicking out through the city. Why wouldn't that happen in Asia? If Singapore has been a hugely important market to us. Your point about Macao versus the Chinese market, obviously, part of our business is dependent upon access to Chinese market, but it's not dependent. In fact, it still make a lot of money, maybe as much as a billion net dollars without a lot of Chinese inputs. So if Korea opens up and Singapore opens up, Malaysia opens up and Korea -- and Japan, those markets are very, very fat and happy for us. And I believe, the scenes are opening up throughout '22. That's the pick. If a vaccination rate is slowing, its open traveling, it's open your doors up and then watching what's happened in Vegas happen in Singapore. And I feel I don't want to identify a month or a quarter, but I think you're going to see a nice turn in '22. And then the same will happen in Macao when the government decides to open those doors up. I know there's people are -- people are saying '25, Macao opens up '27. But the truth is, Vegas has put about 30 minutes. Once they open their doors up, it just recovers. And base recovery is not a convention bank was based recovery out yet to come. I think the future in Vegas remains, as we voiced that very bright. And there's no reason why it can't be anyway it, in both Singapore and Macao as vaccination rates takeoff and government get more confident and travel lanes re open. So we're highly confident this will happen in Singapore in '22. To what degree? I don't I won't predict, but it's just a question for MVAS goes right back where it was pre - COVID it's just another -- so we're very confident.
Stephen Grambling : That's helpful. And perhaps as a follow-up, going back to Macao, what -- we'll love it just if you could provide any additional color on the consultation process. And what are the key points of clarification that you are watching for as you think about how to strategically position the business? Thanks.
Rob Goldstein: Yeah. We've been -- I've been involved in, well, my colleagues in the country over two decades. We've seen, I mean, we've been through everything and starting 20 years ago, and people tell you, you can't do business in Macao and then Cotai wouldn't be successful. Now, we have the incredibly crippling crisis in the 8 and 9. We had smoking issues. It always worked out. And we're very proud of what we've done in Macao over the years. I think our activities, our investments speak for themselves. I have faith in the process. They've always treat us fairly, and we responded with the largest investment in any gaming market in the world. So we believe -- we remain believers. We wait for the government's advice in direction. We've submitted our responses. But looking at our history on success, I believe, will be instructive to the future of our business in Macao. And so no more beyond that. I think it's clear to say that we have a lot of lead in this market.
Stephen Grambling : Fair enough. Thanks so much.
Rob Goldstein: Sure. Thank you.
Operator: Your next question is from the line of Joe Greff from JPMorgan. Your line is open.
Joe Greff : Hello, everybody. Rob and gang --
Rob Goldstein: Hi, Joe.
Joe Greff : On Macao 's recovery and the potential for more meaningful, increased travel and mobility between Mainland China and Macao, do you get the impression, whether it's from conversations with the government and otherwise, that this is more likely after the Olympics in Beijing in February?
Rob Goldstein: I will defer them to the fellows in the ground up. I don't think we heard these points of Golden Week and it's going to happen when the Olympics are -- I don't think we know. I think it'd be silly for us to predict, Joe. I don't think we can really give you confidence that we have great insights when the doors will reopen. But we just know they will at some point. I think '22 will be a turn year. But I don't want to get into the game of saying it's to happen this date. I think we said in previous calls, we don't know when, we just know when it does happens to be very powerful and it's going to limit Las Vegas. I mean, anybody hasn't seen that, hasn't spend time in Macao. It's going to be quite a storm of activity over there. But I don't want the Olympics or Golden Week or -- because we -- obviously we've been wronged by those who predicted has fallen on a sort is no reason to. Grant, Wilfred, do you have a different approach to this? Speak up.
Grant Chum: Agree.
Rob Goldstein: Sorry Grant. Go ahead.
Grant Chum: Sorry Rob go ahead We see we see underlying demand continues to be very strong when the opportunity arises. Now, the opportunity has -- maybe has been relatively brief, one month here, a few weeks there. we can definitely see the underlying demand actually across all the different segments as very strong. And I think Rob referenced the pent-up demand that we've seen in Las Vegas coming through. And I think it's not going to be dissimilar in Macao. But I agree with Rob that we can't be really drawn into predicting timing. But we definitely see the evidence on the pent-up demand for sure.
Joe Greff : Great. And then --
Rob Goldstein: Wilfred?
Dr. Wilfred Wong: And I think that China will open up to the world when they feel confident that they can control any community outbreak situations. And that depends a lot on the vaccination rate, which at this stage stands at about 80% and the availability of medicinal cure. They are now testing with all kinds of cure methods including Chinese herbal methods, and there's a lot of research going into it. So we're quite hopeful that very soon with -- they are vaccinating at about 1.3 million, 1.4 million people a day. So if they continue like this in another 200 days, it will be another 10% of the population. So I think as China's vaccination rate goes up, the government's confidence increases. And we are hopeful that Macao, as part of China, adopting similar policies will benefit from the opening up.
Joe Greff : Great. Thank you. Patrick, on the investments on the digital side, can you talk about how you envision maybe the size of those investments over the next couple of years, are we talking about relatively small, more modest investments or could we see investments in hundreds of millions or a billion-dollar range, depending on what's available and what you like.
Patrick Dumont: So it's something we talk about a lot internally. I think some of it's going to be related to the value of the opportunity that we see. I think it sort of our thoughts right now is that we're really thinking earlier stage or mid-stage. But again, it was fit into a larger strategy and that's kind of how we'll think about being effective for the long-term and how we think will create long-term value. I don't know that we'll necessarily look at something that's transformational right away. That's something that we may consider in the future depending on where things go and what market opportunity we see. But I think the good news is we've got plenty of firepower. We've got a strong management team and expertise in the industry and we think we can be really helpful to grow in technology. So from our standpoint, we're going to be opportunistic and we'll see how it goes. But in the beginning we're going to start small and sort of build from there.
Joe Greff : Thank you.
Operator: Your next question is from the line of Robin Farley from UBS. Your line is open.
Robin Farley : Great. Thanks. I wanted to ask about one of the proposals in the new legislation. Is that it would require government approval for dividends. And if that were enacted, I realize it's just in the discussion stages now. But if that were enacted into law, would you think twice about investing if you -- if then there would be a chance that you wouldn't be approved to get a return on that investment? In other words, how much of a concern would that be for you? Thanks.
Rob Goldstein: Patrick, you want to take that?
Patrick Dumont: I'm sorry.
Rob Goldstein: Patrick?
Patrick Dumont: Grant, yes. I think from our standpoint, I think we're obviously very much focused on building on our past. As Rob mentioned, I think we have a great track record of investing in Macao, in scale and non-gaming amenities. And I think from our standpoint, we have confidence that we'll ultimately will result from this process will be a good path forward. And so we're very confident, we're eagerly waiting instructions on how to proceed. But in our mind, Macao is the best market in the world, we continue to invest. We're very excited about the long term in Macao and wait and see how things go. But from our standpoint, we're very confident about the future.
Grant Chum: Rob, one thing I think we tried to reference is, after 2 decades of being there, we've never found the government to be not thoughtful. They're very thoughtful, and they're going to take these issues and make it reasonable for all of us. We're not that concerned. I mean, I saw initially the response was putting like that, they're concerned. We don't have this concerns, and yes, we're eager to reinvest in Macao. We were assuming that the process will be fair and equal, and we're also assuming that they want us to invest as well. The government there wants the growth in Macao. So we're not that concerned about that issue at all.
Robin Farley : Okay. That's helpful. Thank you. And maybe just a quick follow-up. Just in terms of timing or potential extension of your existing concession, is there a point at which you feel the indication is that it's going to be extended for at least another 12 months? I mean, just given the timing already seems would be -- seems very challenging to do anything before June of '22, given the inability to travel into the country. Is that safe to assume that, at this point, it's not something that you would expect to come up for bid before June? Thanks.
Rob Goldstein: I don't think -- we're not going to voice their opinion because we just, again, we remain confident the process will work out. Again, we have 2 decades of history with this government, and it's been a very good 2 decades. This Company built a great business base on it. We've had, like every business you have stops and starts, and good days and bad days. In the 2 decades since we started doing business in Macao, we've always found the government very reasonable, very thoughtful, and very fair. And we're not concerned when they make that decision next month or month after or make it in June. I don't know when they're going to make that decision. I'll let them make that decision and tell us. We'll respond accordingly, but we have no trepidation or bring fear that will be an issue to us. We knew this was coming. I mean, it is a lease, so we knew this day was coming and we're prepared for it. And we're also prepared to wait till the government tells us how they want to proceed and will respect for that process.
Robin Farley : Okay. great. Thank you very much.
Rob Goldstein: Thank you.
Operator: Your next question is from the line of Shaun Kelley from Bank of America. Your line is open.
Shaun Kelley : Hi, good morning and afternoon, everyone. Just to maybe follow-up on the whole licensing process. I mean, I think one thing we've all thought about is the requirement or the idea that they're probably incremental capital that would need to be invested either in Macao, theoretically in non-gaming amenities which you knew well, or in somewhere in greater Mainland China, I just wanted to ask about that last point. Any thoughts on your desire, your ability to invest directly in mainland China? Is that something you'd be prepared to do and sort of how would you kind of underwrite returns or thinking about underwriting those given some of your return focus. If that was the ask.
Rob Goldstein: A lot of other factors, but I'm going to preempt up by saying we, again, you know we have the ability to invest as clear based on our balance sheet. We have the appetite to invest. We have a track record that was -- that obviously we invested 15 billion. We invested a few billion dollars right before the pandemic hit, which people thought, oh gee, you want the clarity of the license, we did it. So we remain willing and eager to invest in Macao and perhaps other parts Macao, and just waiting for that day to happen. Patrick, you want to jump in?
Patrick Dumont: Sure. Thanks, Rob. We're very happy, very proud of Sheldon's long-term vision for Macao and for our Company's investments. We're proud of what Sheldon and the Company in the team has accomplished over many years there, the amount of investment, the high-quality of tours and assets that we've created, the tours and drivers, the non-gaming diversification. And really to be fair, a lot of the tourism innovation that we brought to Macao we've all been saying things that have been complementary and follow through with the original goal of the first concession. And so we're very proud about that and we're very confident about the future and our ability to invest in or support these long-term goals of the government and for the Company. And so I think as we look to potential things that we may have to do in terms of future investment, we welcome the opportunity. We would love to invest more. We're very eager to deploy capital into these markets. We think they're very high quality and we really believe in the future. So there's just been a lot of commentary around things that may happen to occur or may have to occur. I don't think anyone really knows. I think the only thing that we're very confident about is our ability to invest, to innovate from the tourism side, and to drive really the support of the initiatives that have been asked about. So from that standpoint, we're ready to do it. But until we have clear direction, there's not really much more we can say.
Shaun Kelley : Great. And maybe just as the follow-up, sticking with the investment team, probably for you, Patrick, but just thinking about the same question for Singapore. Obviously, there you have a little bit more of a developed path on dollars that have been allocated and when you want to get going. But can you just give us the latest on when you think you'd actually be moving on some of the investments you, guys, have committed to make there and building out the additional hotel tower and expansion?
Patrick Dumont: Sure. As we've said before, I think we're very excited to do it. It represents a tremendous opportunity to support Singapore 's goals, to deploy a significant amount of capital in the most privileged market in the world, which is really one of the great cities in the world. Singapore is growing. It was growing tremendously before the pandemic and they've really been leaders in their public health initiatives to support their population during the pandemic. So we're very proud to be there. I think we would love to get started soon as possible. But right now they're dealing with a lot of things that have a higher priority. So we're waiting patiently. We have a long-term partnership with the government and we're looking forward to working through new open remaining items so that we can begin. But our plan is to begin and we're very excited about it. So the question is when and I think that's going to be dictated by necessary public health responses around timing and opening.
Shaun Kelley : Thank you very much.
Operator: Your next question -- your next question is from Ben Chaiken from Credit Suisse. Your line is open.
Benjamin Chaiken: Hey, everyone. There's been lots of -- there's been lots of conversation understandably about investing in digital and 2, to investments that maybe required in Singapore and Macao. But at the same time, you spoke about pent-up demand in Macao and Singapore, which seems to make a share buyback at these levels, potentially a more compelling ROI. I guess, how do you balance the optionality of those different options, I guess? Yeah.
Patrick Dumont: So we think about this a lot. We spend a lot of time on it as a management team. We run a lot of sensitivities and scenarios around potential returns. And it's interesting. We have a lot of opportunity as the Company, we're really excited about it. And I think our highest and best use of capital and to create the best shareholder returns really is to develop new projects from the ground up. That's how we built the Company. That's how we've always created the return profile that has made our equity very compelling. And so from our standpoint, that's our focus. Rob and the rest of the team spent a lot of time looking into development opportunities in many different jurisdictions. And so we're focused on deploying capital into those jurisdictions to grow the business. At the same time, we recognize there's opportunity in the equity. And in the past, we've always returned excess capital through share repurchases. And so that's something that we'll look to do in the future. But at this point, I think we're evaluating a lot of opportunities for real growth. And so from that standpoint, we're very excited, but we'll always look at the return potential of buy equity. Do we believe the equity is at a compelling level? Absolutely. But at the same time, we also like to believe that we have some real significant available opportunities in the future that will create very significant returns as well. So to your point, it is balanced. But we look at it and we're trying to allocate capital in the best way that we can.
Benjamin Chaiken: Thanks.
Rob Goldstein: Thank you.
Operator: Your next question is from the line of Dan Politzer from Wells Fargo. Your line is open.
Dan Politzer: Hey, everyone. Good afternoon. Thanks for taking my questions. So on Singapore, how do you think about margins for this property over the next couple of years? I think there is a higher tax rate that goes into effect and potentially impact from construction disruption, and possibly some of the costs you were able to optimize over the past 18 months. Going forward over the next couple of years, how do you think about that given the expectation for pent-up demand to come back in 2022?
Rob Goldstein: Firstly, I look at what's happened. Again, it's instructive look in Las Vegas. The so-called four-year recovery took again about less than a year. I think Singapore is in arrival. Las Vegas becomes the pre -COVID recovery being stronger, which means stronger margins for us and bigger growth. I think -- there's this market in Singapore is proving very resilient in the past, especially when the government's come to open traveling, to open the doors up. I think margin will be just fine. We didn't -- by the way, we didn't furlough people or lay off. Lots of people -- we didn't squeeze people out the door. We stood by our employees and I think we didn't necessarily maximize -- we could have, we decided not to do that. And I think that's to our credit. But on the other hand, I think our business there will currently reoccur back to pre -COVID levels and probably beyond pre -COVID. And again, if Vegas is instructive and I believe it is, the demand is going to be extraordinary in Asia. The Lock down here in Las Vegas is much shorter. than the lock-down in Asia. Yet the gaming proclivity for lot of Asian countries is solid in Las Vegas. So anybody things Singapore is not going to come back with a vengeance, I think is mistake, the same Macao. And of course those revenues will drive our margins. So I have no fear that were returned to pre-COVID and margins and pre-COVID revenues exceed both. Really voice on Singapore will be the first and the best place open next year for the gamer, or for the tourist or for the leisure leisure travel is going to be exceptional plans to revisit. You see where the government is going. They've indicated they're anxious being open. Their vaccination rates are soaring. The traveling is being established. The neighbor is getting better in Malaysia, Korea, Japan. Indonesia is still lagging, but coming on. So I use this question time, '22 is return year till we see margins and revenues, and EBITDA has been much more back to normal than they've been the last 24 months.
Dan Politzer: Got it. Thanks. And then just one more on Macao. I mean, when Macao does eventually recover, how do you think about your share of GGR evolving given the opening of the London area, which we didn't have back in 2019? And also, I know how to target different customer, but how do you anticipate any impact from Lisboa Palace on your properties? And if so, if there's an impact, which ones?
Rob Goldstein: Yeah. Mr. Chum, are you still here?
Grant Chum: Yeah, Rob. I think history of Macao shows every time we have large-scale high-quality product coming in on Cotai, it helps the market. And I think when the demand comes back, it's going to be to the market's benefit and to the whole industry's benefit that we've got good new product that customers can patronize. And that applies to Lisboa Palace, that applies to with some buck, other competitors will be -- will have open by then. And, obviously, we think first and foremost is going to apply to what we've completed in Grand Suites at Four Seasons, and also to London and Macao. So we're very excited and confident that when the demand returns, all these new projects but I would say, especially all projects is going to be a growth driver for the industry. And by implication, we hope that we will achieve good market share. But I think it's much more about as the history and 2 decades of shan growing the overall pie. And I think in terms of segments, again, I wouldn't hesitate to say that it's going to be positive across a very broad base of segmentation of the mass -- the premium mass and so forth.
Dan Politzer: Got it. Thanks so much, guys.
Rob Goldstein: Thank you.
Operator: Your next question is from the line of David Katz from Jefferies. Your line is open.
Rob Goldstein: Hi, David.
Patrick Dumont: David, you there?
Rob Goldstein: David? We lost Mr. Katz.
Operator: Okay. We'll go to the next question. It's from the line of Steve Wieczynski from Stifel. Your line is open.
Steve Wieczynski : Hey, guys. Good afternoon. Just one question here for me -- good afternoon, Rob. Just one question for me. And Rob, I know you're probably tired of answering a bunch of hear-say questions about the renewal process. And this one is probably going to be a bit more direct. I guess the simple question is, do you guys see a scenario out there where you are not operating any casino assets in Macao at some point in the near future? And I'm sorry to be so blunt, but it's a question I think a lot of investors are pondering right now given the bigness that has come out of the Chinese government about what they're actually looking for.
Rob Goldstein: I do not -- I see no chance of that whatsoever. I think we're -- but I -- I'll refer as I -- I apologize by singing a broken record, but the truth is we've been doing this for a couple of decades, we have unparalleled track record. The whole Cotai development would be -- one guy did that and it's Sheldon. One guy put $15 billion around the non-gaming and gaming assets. One Company made almost $4 billion EBITDA, and I think we have been stellar with our employees. So I remain beyond confident that we'll be operating in Macao. I don't think chance whatsoever that we wouldn't be. I'm not saying that rhetorically. I mean that sincerely. Our -- every indication we have gotten is to the opposite. So we, again, I'm very proud of our track record throughout profitable development, profitable investment, but I think the government is recognize we've been a lawfully good licensee and partner and friend China and Macao. And we're eagerly back there. So no, I don't believe that's a possibility.
Steve Wieczynski : Okay. Great. Thanks, Grant and Rob.
Rob Goldstein: Sure. Anything else?
Operator: Your final question is from the line of David Katz from Jefferies. Your line is open.
David Katz : Hi, can you hear me now?
Rob Goldstein: Yeah. We thought you fell asleep on us because you're in Macao.
David Katz : There is no sleeping at Jefferies. What I was really hoping to have the team's perspective on is really VIP gaming. Because we do spend a fair amount of time talking with investors, with people on the ground, et cetera, around what the VIP -- what the future of the VIP business really looks like. There have been some public pressures on it. Talk about currency, changes, and things like that, that presumably would have some impact. What is the real growth solid recovery core look like in VIP?
Rob Goldstein: I just want to let Grant take that question, you listened and read. You talking Macao, I assume in the whole track of this discover, right?
David Katz : Yes.
Rob Goldstein: Okay. So let's begin with a little bit of historical perspective. Again, for the 20 plus years we've been doing business in Macao, we incurred this, this isn't going to work, that's not going to work. The revenues will never go anywhere. I believe this is for off one. Segments are going to fall apart. The latest thing is to say the VIP is not always the junket side. I just remain a huge believer in that market of all segments. Obviously, we've made our strength in the mass -- premium mass has been our bread and butter and will continue to be. But I don't think you'll ever discount, those who have discount, this segment has done it at their own parallel. I think it can -- it could move to a different channel, the different way of being available. But gamers are going to keep happening in all segments in Macao. I just -- as a precursor to Grant's comments, I think you have to realize how awful this market has been, the growth has been unbelievable. Those of us who started back in 2002, 2003, and 2004, never dreamed the way every segment just developed in the 2010, 2011, 2012 era. It was the junk as we drove Macao to sent and morph into our premium mass market -- our premium mass market. And again, our Company has been more focused on the base mass and premium mass segments. But the VIP had served the market very well. So I think it will re-merge in different form with different channels of distribution. And that's my take. Grant, you're much closer to this, so please speak up.
Grant Chum: I think you said it very well, Rob. I think it's important to remember, again, the proportion of profit coming from that segment, especially, I think, you have more referencing the junket segment versus our own VIP business. It's very, very small. It's really low single-digit pre-COVID. So I know people spend a lot of time talking about it, but our business is really geared to that large scale destination resort with premium mass, mass, the leisure, the FIT, and the future is going to be that structural growth in those segments, as well as the non-gaming, the retail, the MICE. And so that's where really our re-investments and asset base has really focused on.
Rob Goldstein: I think the driver gets Grant's point -- the driver that market is always going to be or work focuses lifestyle. Extraordinary entertainment, restaurants, retail, rooms, that's where investors -- we see the London, that's where the focus was. The Four Seasons is more towards the very high-end premium mass. But no matter what form it takes, the gamble is that it'll just keep growing over there and the desire to come to will grow. So whether it be the new -- as we built another Company, it just enhances the market. And I don't think there'll ever be a lack of customers, a lack of visitors to Macao. The problem's going to be when the market comes flooring back in, whenever, it's '22 or whenever. I think the problem's going to be lack of capacity, going to be lack of rooms. That part is always going to be burdened by needs new capacity, needs new lodging because whether it be based mask, pre-mask, it is no longer a Hong-Kong dependent overnight market. It's a stay-overnight market, it's a leisure market, it's a business market, it's a spectacular market. And we're going to be there with everybody else, trying to get our fair share, and I think our new assets, if we ever get to see them,? next year, are going to surprise you. What we've done with the London or Four Seasons is the best thing we've ever done, in my opinion. So we look forward to getting back to Macao and getting back to business. Thanks, David.
Operator: Thank you, speakers. There are no more questions. And ladies and gentlemen, this concludes today's conference call. That you all for joining. You may not disconnect.